Operator: Greetings and welcome to Safe Harbor Financial’s Third Quarter 2024 Earnings Conference Call. As a reminder, this conference is being recorded. It is now my pleasure to turn the call over to Phil Carlson from KCSA. Thank you. You may begin.
Phil Carlson: Thank you. Hello, everyone, and welcome to the third quarter 9 months 2024 earnings conference call for Safe Harbor Financial. Before we start, please note that remarks made today include forward-looking statements, including statements with respect to the company’s outlook, and the company’s expectations regarding its market opportunities and other financial operational matters. Each forward-looking statement discussed on today’s call is subject to risks and uncertainties that could cause actual results to differ materially from those projected in such statements. Actual results and the timing of certain events may differ materially from the results or timing predicted or implied by such forward-looking statements and reported results should not be considered as an indication for future performance. Additional information regarding these factors appears under the heading Risk Factors in the company’s filings with the Securities and Exchange Commission, or the SEC, which are available at www.sec.gov and on our website at ir.shfinancial.org. Forward-looking statements in this call will speak only as of today’s date, and the company undertakes no obligation to update or revise any of these statements. Also during the call, Safe Harbor will present both GAAP and non-GAAP financial measures. A reconciliation of non-GAAP to GAAP measures is included in today’s earnings press release, which you can find on the company’s Investor Relations website or on the SEC website. All dollar amount expressed today are in U.S. currency. Presenting today will be Sundie Seefried Chief Executive Officer; and Jim Dennedy, Chief Financial Officer of Safe Harbor. I’ll now turn the call over to Sundie. Sundie, please go ahead.
Sundie Seefried: Thank you, Phil, and welcome, everyone, to our third quarter and 9 months of 2024 earnings call. Throughout the third quarter of 2024, we continued to build our credibility as a trusted financial partner for the businesses operating in and around the cannabis industry. And I am pleased to say that our best-in-class financial services platform remains the industry standard as cannabis-related businesses look to ensure regulatory compliance in this fast-changing sector. Financial highlights for the third quarter 2024 include net income, which increased 147% year-over-year to $354,000 compared to a net loss of $748,000 for the year ago period. Third quarter and 9 months 2024 loan interest income increased 48% and 143.5% year-over-year, respectively. Meanwhile, third quarter and 9 months 2024 operating expenses decreased by 13% and 66% year-over-year, respectively. Revenue for the third quarter of 2024 in which we experienced a decline from the second quarter in our fee, loan and investment income was negatively impacted by challenging market conditions for cannabis-related businesses. During the quarter, headwinds were seen across much of the cannabis sector, resulting in flat to slightly decreased sales. Factors affecting sales included pricing pressures, excess supply and increased competition as new states continue to legalize. Despite these challenges, which specific to Safe Harbor included lower deposit activity, we managed to increase net income and cash flow. One additional factor impacting Cannabis sales that is highly controversial is the emerging market of CBD and THC derivatives from HEP. These are not regulated at the state level, but rather under the Temp Farm Bill. While it is a new market and Safe Harbor continue to determine if it is a market into which we can expand, the lack of regulation makes providing compliant financial services to the health industry a higher risk. The cannabis market continues to grow with 24 states non-legalizing adult use and 38 states legalizing medicinal use. In 2023, Delaware, Minnesota and Mayo legalized adult-use cannabis with the increased market size being realized in 2024. The continued legalization of adult-use cannabis at the state level is good for our business model, allowing for additional national growth. We continue to focus on new markets as they ramp up to assist early licensees with their financial needs. Legalization at the state level is one thing, but the implementation of a legal market certainly lags legalization. According to an industry report from Grand View Research, the cannabis market size is expected to reach $33.6 billion in 2024 with a CAGR growth rate of 12.1% from 2024 through 2030. We believe Safe Harbor is well positioned to continue to take advantage of expected market growth year-over-year. Safe Harbor is making competitive changes that we believe will make us more attractive to incoming cannabis entities. One of the initiatives responsible for this positive activity is that we started to raise or reduce fees with other internal programs that operators may choose to neutralize such fees ranging from minimum balances to ATM placement programs. We are able to lead with competitive pricing as we continue to see lending income compensate for decreased depository revenue. In the long run, the programs in place, we believe, will replace and even increase the income loss due to the programs. Subsequent to the end of third quarter, we originated a new $1.07 million secured credit facility for a Missouri-based cannabis operator. The facility is secured by a portfolio that includes 4 retail dispensaries and a manufacturing facility in Missouri. And this is the first tranche of a $5 million commitment to refinance existing senior debt. The refinancing reduces the operator’s borrowing cost and will enable them to optimize their operations within the state’s growing cannabis market. This is an example of executing on our strategy to offer cannabis operators access to capital with competitive pricing in our evolving industry. It also grows our credit portfolio further delivering value to investors. Throughout our history, Safe Harbor has shown its commitment to a more inclusive and equitable cannabis industry by supporting the development and growth of minority-owned small businesses and entrepreneurs from underserved communities. In July, we announced a new partnership with BIPOCann, a Denver-based consulting firm dedicated to aiding social equity and minority entrepreneurs in the cannabis sector. Under this partnership, BIPOCann, will offer its full suite of membership benefits valued at $600 to all existing Safe Harbor social equity clients at no additional cost. Additionally, BIPOCann, members will receive a 75% discount on application fees for financial services complementing Safe Harbor’s existing social equity discount program by providing these businesses with access to reliable financial services and resources Safe Harbor and BIPOCann aims to create a more inclusive and equitable cannabis industry. Before handing over to Jim to review our financial results, I will speak briefly on the recent election results as well as the upcoming hearing on reclassification. With the election now behind us and President-elect Trump coming back to the White House in January, we hope that both sides can find middle ground and support cannabis-related businesses. While President-elect Trump has stated that he will leave it up to the states to decide on whether cannabis should be legalized, we are confident that he sees the opportunity for this industry through job creation and additional potential revenue streams. We are looking forward to 2025 and beyond for the potential opportunities for the cannabis industry. As we have previously said, we believe rescheduling cannabis from Schedule I to Schedule III be a positive for our industry in several ways, and we will know more soon as the DEA has scheduled a December 2 hearing to review expert opinions on the proposed scheduling of cannabis. As you likely know, reclassification will reduce tax burdens under Section 2AE, which has the potential to strengthen the balance sheet of our customers as well as our balance sheet. Reclassification would also help level the playing field for cannabis businesses relative to other sectors. As the first mover in our industry, Safe Harbor is well positioned to capitalize on the evolution of the regulatory environment. We view these developments as positive steps towards Federal cannabis reform, and Safe Harbor is monitoring this closely. To recap, we are concentrating our efforts to expand the growth of our customer base, continue to deliver best-in-class service and develop innovative offerings, all of which we are confident will result higher capacity for lending. Our near-term growth strategy remains to acquire account portfolios from banks looking to exit the business as well as expanding our deposit base and adapting our platform to meet demand of CRDs. Furthermore, we are striving to be more competitive with our pricing structure by weighted needs on higher balances. As we continue to execute on our business strategy, we remain focused on driving our bottom line by looking at generating additional revenue streams while decreasing overall expenses. I would now like to hand the call over to Jim to discuss our financial results for third quarter ended September 30, 2024. Jim?
Jim Dennedy: Thanks Sundie and good afternoon everyone. For the three months ended September 30, 2024, Safe Harbor reported revenue of $3.5 million, down 19.6% from $4.3 million in the comparable prior year period. For the nine months ended September 30, 2024, Safe Harbor reported total revenue of $11.6 million, a decrease of 11.6% from $13.1 million for the comparable prior year period. In the third quarter of 2024, revenue for deposit activity and onboarding was $1.6 million, a decrease of 26% versus the comparable prior year period. And for the nine months ended September 30, 2024, revenue for deposit activity and onboarding revenue was $4.9 million, a decrease of more than 29.6% versus the comparable prior year period. Revenue earned in the three months ended December 30, 2024, for investment income was $475,000, a decrease of approximately 60% versus the comparable prior year period. And for the nine months ended September 30, 2024, investment income was $1.75 million, a decrease of 56.5% versus the comparable prior year period. In the third quarter, loan interest income grew 48% versus the comparable prior year period to $1.3 million. And for the nine months ended September 30, 2024, loan interest income grew 143.5% versus the comparable prior year period to $4.8 million. Moving down the income statement, for the three months ended September 30, 2024, total operating expenses were $3.3 million compared to $3.8 million for the comparable prior year period. The decrease in operating expenses was largely driven by decreases in compensation and employee benefit expense and decreases in general and administrative expenses. For the nine months ended September 30, 2024, total operating expenses were $10.8 million versus $32.1 million in the prior year period. Operating expenses for the nine months ended September 30, 2023, included an impairment charge of $16.9 million. Excluding the impairment charges, total operating expenses for the nine months ended September 30, 2023, were $15.2 million. When excluding the impairment charges taken in 2023, for the nine months ended September 30, 2024, the business reduced expenses by approximately $4.4 million for the period ending September 30, 2024, versus the comparable prior year period. Net income in the third quarter of 2024 was $354,000 compared to a net loss of $748,000 in the comparable prior year period. And for the nine months ended September 30, 2024, the company reported net income of $3.3 million versus a net loss of $19.8 million for the nine months ended September 30, 2023. When adjusting net income for interest, taxes and depreciation and amortization expense, and further adjustments to exclude non-cash, unusual and/or infrequent costs, we compute an adjusted EBITDA, which management believes is a better measure to evaluate our operating performance. A reconciliation of net income to adjusted EBITDA is provided in the press release and 8-K filed earlier today. Adjusted EBITDA for the quarter ended September 30, 2024, was $764,000 versus $1.05 million in the comparable prior year period. And for the nine months ended September 30, 2024, the company reported adjusted EBITDA of $2.8 million versus $2.3 million in the comparable prior year nine months ended September 30, 2023. Moving to the balance sheet, at September 30, 2024, the company reported cash and cash equivalents of $5.9 million compared to $4.9 million at December 31, 2023. Cash provided by operating activities through the third quarter of 2024 was $3.2 million compared to cash used in operating activities of $225,000 in the comparable prior year period. Turning to our liquidity, the company reported a net working capital deficit on September 30, 2024, of $2.5 million versus a deficit of $135,000 at December 31, 2023. Our working capital deficit of $2.5 million includes $7.3 million recorded for the forward purchase liability, which may be paid in common stock to the company. Excluding the liability that may be paid in common stock versus cash, the company would have a positive working capital of approximately $4.8 million. Looking ahead to the balance of 2024, we expect to report full year revenue for 2024 in the range of $15 million to $15.5 million. I would now like to turn the call over to the operator for question-and-answer session.
Operator:
Sundie Seefried: Thank you all for joining us on today’s call and thank you to our investors for their continued support. We look forward to updating you on our year-end 2024 call in March. I will now ask the operator to close the line.
Operator: Thank you all for joining on today’s call and thank you for our investors for their continuous support. We will look forward to updating you on our year end 2024 call in March. You may disconnect.